Operator: Good morning. My name is Steve and I will be the operator on this conference today. At this time, I would like to welcome everyone to the EnPro Industries’ Second Quarter 2013 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions). Thank you. Mr. Don Washington, Director of Investor Relations for EnPro Industries, you may begin your conference call.
Don Washington: Thank you, Steve. And good morning everyone. Welcome to our quarterly earnings conference call. I remind you that our call is also being webcasted in enproindustries.com, and you can find the website link and the slides accompanying the call in the Investor Relations section of our website. In a moment Alex Pease, our Senior Vice President and CFO will review the results for the second quarter of 2013. Steve Macadam, our President and CEO who is usually on these calls is chosen to attend GST’s Asbestos Liability Estimation Trial Today. And so he won’t be with us. Before we begin, I will point out to you that you may hear statements during the course of this call that express the belief, expectation or intension as well as those that are not historical fact. These statements are forward-looking and involve a number of risks and uncertainties that may cause actual events and results to differ materially from such forward-looking statements. These risks and uncertainties are referenced in the Safe Harbor statement included in our press release and are described in more detail along with other risks and uncertainties in our filings with the SEC including the Form 10-K for the year ended December 31, 2012 and the Form 10-Q for the quarter ended March 31, 2013. We do not undertake to update any forward-looking statements made on this conference call to reflect any change in management’s expectations or any change in assumptions or circumstances on of which such statements are based. You should also note that EnPro owns a number of direct and indirect subsidiaries. From time to time, we may refer collectively to EnPro and one or more of its subsidiaries as we, or to the businesses, assets and debts or affairs of EnPro or a subsidiary as ours. These and similar references are for convenience only, and should not be construed to change the fact that EnPro and each subsidiary is an independent entity, with separate management, operations, obligations and affairs. I want to remind you that to our financial results reflect the deconsolidation of Garlock Sealing Technologies LLC and Garrison Litigation Management and their subsidiaries, effective June 5, 2010. The results of these entities will remain deconsolidated during the pendency of the Chapter 11 legal proceedings to resolve asbestos claims against GST. We refer to this as you know as the Asbestos Claims Resolution Process or ACRP. GST’s summary results are presented separately in our earnings release. Now I’ll turn the call over to Alex.
Alex Pease: Thanks Don. Thanks to everyone who has joined us on the call this morning. As Don mentioned, Steve is attending GST’s Asbestos Liability Estimation Trial today. As I’m sure most of you know that trail began last week and is scheduled to conclude at the end of next week. Because the trials in progress it’s not appropriate for us to make any comment about it beyond our continued confidence in the arguments GST has presented to the core. We believe that GST’s argument show a couple of important points, first its products were not cause of asbestos related disease. And secondly its settlements in the NEW York leading up to Chapter 11 to filing in 2010 reflected increased cost of defense and higher trial cost – higher trial risk caused by Tort system abuses including the depression of evidence and we’re not representative of any true legal liability. Although portions of the trial are being held under a confidentiality order from the court the order does not prevent GST from presenting these arguments and evidence supporting them in full during the trial. We appreciate your understanding of our reasons for not commenting further on the trial or on when or how the case may be resolved. Well it remains possible that a settlement maybe the ultimate outcome of the ACRP we have no assurance that this will be the case nor can we anticipate what if any value of GST might be preserved. Now let’s look at our second quarter performance. Sales in the quarter in the second quarter were up $306 million were $306 million up $4.1 million from the second quarter of last year, more than half of the increase or about $2.3 million came from the benefit of two extra weeks to Motorwheel sales in the year’s second quarter. As you recall we closed the Motorwheel acquisition in mid-April of last year. The remainder came primarily from increased sales in environmental upgrades in the Engine Products and Services segment. Conditions in most of our markets were consistent with the second quarter of last year with two notable exceptions. At the Technetics Group demand was down especially in the semiconductor market and sales remained below the high levels we saw in the second quarter of last year. At STEMCO however demand improved and sales were up across all product lines including break products. STEMCO also benefited from the two weeks to Motorwheel sales that weren’t included in the – in last year’s second quarter. By geography demand was fairly even with the year ago in North America excluding Fairbanks Morse was down slightly in Europe. Segment profits were $43 million up about 14% from the second quarter of last year. The increase is evidenced of our continuing cost discipline and improved pricing. With this discipline segment profit margins improved significantly reaching 14% of sales up from 12.4% of sales in the second quarter last year. We had about $2.1 million of unusual expenses at the segment level in both second – in the second quarter of both years. This year in the second quarter most of the expenses were in early retirement program at retirement program at Fairbanks Morse Engine that we expect to produce about $3 million in annualized savings. Last year most of the second quarter expense was from an inventory step up at the Motorwheel acquisition. Excluding those expenses in both quarters, segment margins were 14.6% this year compared to 13.1% a year ago. Net income in the second quarter of 2013 decline to $8 million, or $0.35 a share, from $10.2 million or $0.47 a share in the second quarter of 2012. An adjustment to an environmental reserve where previously owned business reduced net income by $4 million after-tax. The pre-tax amount was $6.3 million. The adjustment reflects an accrual related to a business that was divested in 1983 well before EnPro became an independent company. Excluding the reserve interest to GST and other selected items net income improved by 17% to $19.5 million or $0.87 a share in the second quarter of 2013. Last year on that same basis second quarter net income was $15.7 million or $0.76 a share. Looking at our consolidated results in the first half of the year sales were down about 6% from what we reported in the first half of last year excluding the effect of the Motorwheel acquisition. About half of the difference was due to the effect of the changed to percentage of completion accountings for new engines which we’ve described in detail in the past. The remainder primarily reflects lower demand in our markets compared to the first half of last year especially in Europe and in our semiconductor markets. Excluding foreign exchange in the contribution of Motorwheel segment profits were about a 11% below the first half of last year. This decline came largely because of lower volumes in an unfavorable product mix that all operations especially Fairbanks Morse which had significantly lower margins in the first half of this year due to the one-time cost of the early retirement program, softer demand from the government aftermarket and higher than anticipated cost on the engine refurbishment project we discussed on our first quarter call. Better pricing and lower SG&A expense help offset a portion of the effect of mix in volumes. Segment margins in the first half of the year were 12.6% a decline of about six-tenths of a point from the first half of last year. On a GAAP basis we earned $0.74 a share in the first half of this year compared with $1.11 in the first half of last year. Excluding interest to GST the environmental reserve and other selected items we earned a $1.43 in the first half of this year compared to a $1.67 in the first half of last year. The deconsolidated operations of GST continue to perform well. Third-party sales in those operations were $58 million about 2% better than the second quarter of last year as activity in North America improved. Operating margins were 28.5% as the business benefited from price improvements and lower cost. In the second quarter of 2012, GST’s operating margins were 23.6%. GST’s earnings before interest, income taxes, depreciation and amortization and asbestos related expenses improved to $18.3 million in the second quarter of 2013 up about 24% from the second quarter of last year. Adjusted net income at GST which include – which excludes inter-company interest in ACRP related expenses was $11.3 million an increase from $9.1 million in the second quarter of last year. GST recorded $13.1 million in asbestos related expenses in the second quarter an increase of about $4 million from the second quarter of 2012. These expenses increased significantly as the estimation trial approached. In the first half of this year asbestos related expenses at GST totaled $24.1 million as you know GST is required to pay the expenses of all parties involved in the case and we expect it will continue to be high through the end of the estimation trial. GST continues to generate cash and had about a $173 million in cash in long-term investments at the end of the quarter. Now let’s take a look at our second quarter results in more detail. Gross margins were 35.7% in the second quarter of 2013 up from 34.1% in the second quarter of 2012. Gross margins benefited from effective management of our supply chain and stable raw material cost. We also benefited from modest price increases at all operations as we continue to ensure our products are priced to reflect the value they bring to customers. SG&A expense of $75.6 million in the second quarter was about the same as in the second quarter of last year. SG&A included $8.5 million in corporate cost a decrease from the second quarter of last year and in line with the level of corporate expense we expect to see in each of the next two quarters. Now let’s look at our segment’s operating performances beginning with the Sealing Products segment. The segment sales were $155.9 million in the second quarter about equal to the second quarter of last year. The segment sales this year benefited from the additional weeks to Motorwheel sales which came to $2.3 million. Sealing Products segment profits were up substantially from a year ago growing 21% to $27.7 million. Profits benefited from very strong performances at STEMCO and the consolidated Garlock operations and from a small contribution by Motorwheel. The comparison to last year also benefited from lower restructuring expense this year and a charge last year for an inventory step up of Motorwheel. These benefits were partially offset by lower volumes at Technetics. Segment margins improved to 16.7% about four full percentage points over the second quarter of last year on flat sales. However, in last year’s second quarter restructuring expenses and the Motorwheel expenses reduced margin significantly. Those items totaled $1.8 million. If we adjust for them and a small restructuring charge in the second quarter of this year margins improved to 16.8% from 14.9% a year ago. Looking at the businesses within the segments sales at the consolidated Garlock operations were the same as in the second quarter of last year. Although volumes were down especially in Europe as the consolidated Garlock operations benefited from modest price increases in the acquisition of a small Chinese distributor of industrial field. Results of the Technetics group continue to be affected by the comparison to a period of a very strong demand in the first half of last year by customers in the cyclical semiconductor market. That market was much softer in this year’s second quarter and Technetics semiconductor equipment sales were down considerably from the second quarter of last year. Technetics saw somewhat softer demand for products sold into other high performance markets as well and profits declined significantly as Technetics volumes decreased. Although lower cost help to counter some of the effect of lower volumes margins declined. At STEMCO, sales were up sharply. A portion of the increase came from the additional two weeks to Motorwheel sales but demand was stronger across all of STEMCO’s product lines including break products manufactured at STEMCO’s Rome and Motorwheel operations and particularly aftermarket fields which carry very strong margins. Acceptance of STEMCO’s break products is growing among fleet operators in OEM customers as this key piece of STEMCO strategy matures we expect the break business to continue to improve as volumes and mix improved STEMCO recorded significantly higher segment profits and profit margins. Second quarter same sales in the Engineered Products segment were $95.1 million and equal to the segment sales in the second quarter of 2012. Neither GGB nor CPI sawed a meaningful year-over-year change in sales as both businesses were able to make up the effective slight reductions in volume with improved pricing. Despite flat sales profits and margins improved in the second quarter excluding restructuring expense from last year profits were up 20% or about $1.6 million. Segment margins improved to 9% in the second quarter of this year. A year ago adjusted to exclude restructuring cost segment margins were 7.4%. At GGB profits and margins increased from a year ago as pricing more than offset the effect of lower volumes. CPI’s profits and margins also increased over the second quarter of last year. Even though volumes were lower at CPI pricing was better and SG&A decrease due to the benefits of restructuring over the past several quarters. The performance of CPI drove most of the increase in Engineered Products segments margins. As you know we’ve taken a number of steps to improve profitability at CPI well it faced the challenge of integrating several small acquisitions as we operate in an environment of low demand. The full results of our operations of our efforts at CPI unlikely to be realized until market conditions get better. In this light we continue to look closely at CPI’s performance and we’ll continue to work hard to ensure the business is positioned to deliver the full value we expect. To complete the review of our segments performance let’s take a look at the Engine Products and Services segment. We reported a 7% increase in sale of Fairbanks Morse to $45 million most of the $2.9 million increase came from sales of environmental upgrades to installed engines. Last year in the second quarter there were no sales of these upgrade packages. Parts revenue was up slightly over the second quarter of last year well Engine and Service revenues were about the same. All Engine revenues were recorded under the percentage of completion method in the second quarters of both years. Profits and margins were down from the second quarter of last year. The $1.4 million decline in profits and the drop in segment margins to more than four points are both attributable to the $1.9 million restructuring expense related to the early retirement program. Excluding this restructuring expense the segments margins were 18.3% in the second quarter compared to 18.5% in the second quarter of last year. FMEs backlog was a $149 million at the end of June slightly higher than in the end of March. FME recently won its largest commercial contract in sometime with the $21 million agreement to supply five dual-fuel engine pump sets to an oil pipeline in South America. Well Navy Shipbuilding programs continue to be the main stay of FMEs new engine sales. The team there is working aggressively to create opportunities such as best to sell newer engines in other markets. Our GAAP net income of $8 million or $0.30 a share was down from $10.2 million or $0.47 a share in the second quarter of 2012. Our GAAP earnings reflected a tax rate of almost 41% in the second quarter. A year ago the tax rate was just over 32%. The effective rate in second quarter of this year increased due to an increased mix of U.S. earnings which are taxed at a higher rate than our non-U.S. earnings. Our year-to-date rate of 28.5% is much lower because of an unusually low rate in the first quarter. As you all recall our first quarter rate benefited from expired domestic tax provisions that were renewed retroactively. We should return to more normal rates for the rest of the year and we expect our full year rate to be in the range around 30% to 33%. Our adjusted EPS in the second quarter was $0.87 compared to $0.76 in the second quarter of last year. After-tax adjustments that increased $0.35 in second quarter 2013 GAAP earnings to $0.87 or $0.06 of restructuring expense primarily for the early retirement program at Fairbanks Morse. $0.18 for the increase in the environmental reserve, $0.22 due to interest for GST, $0.02 for other non-operating items and $0.04 to adjusted tax accruals. Our free cash flow was slightly lower in the first half of 2013 than in the first half of 2012, several factors affected the change. Our operating earnings were somewhat lower we made a larger pension contribution this year. Our capital spending was higher year-to-date than last year primarily because of the discount purchase of the manufacturing facility that we formally leased. Longer term this investment will help us reduce expenses. For the full year of 2013 if we carry out all of our plans for expansion which include completing of (inaudible) product manufacturing facility for STEMCO. Capital expenditures could be as much as $50 million. We ended the first half of the year with the cash balance of $58.2 million up about $4 million from our balance at the end of last year. On the balance sheet I’ll remind you that we continue to record a convertible debt as the current liability because the conversion rights have been triggered by the gains we’ve seen in our share price. As long as that meets the conditions for conversions it will be recorded as a current liability. However we have no indication that any holder is lightly to convert prior to the maturity date in October 2013. I’ll close with a look at what we expected for the remainder of 2013. Although we had minimal year-over-year sales growth in the second quarter of 2013, sales improved meaningfully over the first quarter of the year especially in our Sealing Products segments. Profitability also improved sequentially and margins grew in all three segments as we benefited from more stable markets and strong price and cost discipline. Typical seasonal factors accounted for a portion of our sequential growth but we believe the improvement also indicated a level of stability in many of our markets. However opportunities for growth remain limited. In 2013 certain of the North American market served by our Sealing Products and Engineered Products segment may improve modestly compared to last year but sales in those segments will continue to be affected by the cyclical downturn in our semiconductor markets and low levels of demand from Europe. In our Engine Products and Services segment we now expect 2013 sales to decline by more than 10% from 2012 even though we expect a significant increase in engine shipments this year. As you know much of the revenue associated with those engines was recognized last year under percentage of completion accounting. With the limited opportunities for growth in our Sealing Products and Engineered Products segments and a decline in the Engine Products and Services segment we expect 2013 sales to be less than those we reported in 2012. In this environment where we don’t expect to benefit from higher volumes our focus remains on leveraging the strength of our brands exploring the new products in new markets we have entered through acquisitions maintaining cost discipline and pricing strategies and executing the enterprise excellence initiatives that support our continued success. And now we’ll open the line for your questions.
Don Washington: Well Steve, we’re ready.
Operator: Absolutely. (Operator Instructions). Your first question comes from the line of Ian Zaffino from Oppenheimer. And I’m sorry if I pronounced that wrong. Your line is open.
Tom Narayan – Oppenheimer: Hi, it’s actually Tom Narayan for Ian. The EBIT margin for Garlock the 31.4%, does that include the $13 million asbestos expense?
Don Washington: No, that excludes asbestos related expense that’s an EBITDA.
Tom Narayan – Oppenheimer: Okay, I see, I see. And could you talk about just organically maybe why outside of that why margins were better?
Alex Pease: And for Garlock or across the board?
Tom Narayan – Oppenheimer: Yeah, for Garlock.
Alex Pease: For Garlock. Yeah I mean Garlock has been very proactive in terms of its pricing, pricing discipline so we’ve been able to get a lot of value or communicate a lot of the value proposition of the Garlock line of products which has enabled to pass on price. We’ve also been very proactive on the cost side for the equation and we benefited from the fact that PTFE prices have come down fairly substantially. So we’re at a level of PTFE pricing that we haven’t seen in the past 20 months or so and of course PTFE is the largest driver of raw material cost in that business.
Tom Narayan – Oppenheimer: Okay, thanks. That’s all from me.
Operator: Thank you. Your next question comes from the line of Jeff Hammond from KeyBanc Capital Market. Your line is open.
Jeff Hammond – KeyBanc Capital Market: Hey, good morning guys.
Alex Pease: Hey Jeff.
Jeff Hammond – KeyBanc Capital Market: So, just kind of going back to the margin improvement I mean clearly a lot of improvement relative to flat sales dynamic. As we look into the second half I guess two questions, one if you can kind of give us a better sense of what you think was just within your control benefits from restructuring and the likelihood that carries forward. And then how much is kind of the profit improvement was just kind of mix price. And then as you look into second half how sustainable is some of these favorable profit drivers?
Alex Pease: Let me – it’s probably easiest if I tackle that kind of division by division.
Jeff Hammond – KeyBanc Capital Market: Sure.
Alex Pease: I just talked about the Garlock situation I think that’s probably quite sustainable. Always the second sort of first and second quarter tend to be the strongest for Garlock because the way the turnaround season materializes and then the third and fourth tend to be a little bit softer from a volume standpoint. But all of that the cost discipline the pricing improvements, the lower raw material cost I think will continue to benefit Garlock. So I’m pretty optimistic that those margin levels are fairly sustainable. Technetics, we talked about is highly exposed to the semiconductor market and so we sort of struggled down the volume side. On a margin side the thing we’re concerned about is the nuclear mix so as we look out at the nuclear sales we see a little bit of a softer backlog which would have a downward pressure on margins although margins for the – for that division weren’t great this quarter anyway. So I think it’s probably in line to recent slight headwinds depending on what goes on in semiconductor. STEMCO we saw just a very, very strong quarter particularly in the aftermarket field side which carrier really, really high margins. So their margins were substantially higher than they were a year ago. So I do see some headwinds there particularly because the second half of the year tends to be dominated more by the break business and also by the OEM business. So I think that there is some headwinds there relative to last year. We’ve seen some pretty substantial improvement so last year Rome was struggling with a lot of the integration work that they were doing and this year they’re performing on the low double-digits based on all the operational improvement. So, I do think there is a little bit of – a little bit of headwind for STEMCO overall for the year I – for Sealing Products segment I would anticipate that they be a little bit softer maybe a couple of points softer as we sort of finish the year than they were in the quarter but still pretty strong. And then if we go to Engineered, GGB we continue to see improvement at CPI so every – literally every month we’ve seen margins improve there. We really haven’t benefited much from any sort of sales leverage but I expect them to continue to improve as we go through the year. GGB we’re really sort of struggling with the European automotive situation. So there I don’t see margins changing much from what we had from what we reported in the second quarter I see them finishing the year at about that level. But I think there is some upside. And then at Fairbanks Morse, we mentioned sort of the softest – softness in the aftermarket driving some weakness there. I do think that for the year they’ll probably be about a point better than where they finished on the quarter but I don’t think they’ll be at the levels we saw last year.
Jeff Hammond – KeyBanc Capital Market: Okay, great, that’s helpful. Yeah, and then just on Engineered Products, so it sounds like you think that 9% is sustainable one of the back half is or should we see a downtick because seasonally that business seems to dip down?
Alex Pease: No, I think that, that I mean seasonally the business does tend to slow but I think that will probably be offset by the ongoing improvement at CPI.
Jeff Hammond – KeyBanc Capital Market: Okay, great. And then Engine…
Alex Pease: I was looking to add. The European market for GGB likely appears to be reasonably stable. So I don’t anticipate much more softening there.
Jeff Hammond – KeyBanc Capital Market: Okay. And then last question, Engine Products, I think last quarter you were talking about it down 15, do you change that language to down more than 10. So is that ultimately less bad or should we still think about down 15?
Alex Pease: No, I think there has been a couple of developments, first of all the environmental upgrades sales have been substantially stronger obviously last year we didn’t sell any of them so that’s been stronger than we probably anticipated. We also as I mentioned in the script we had the sales of these Colombian Commercial Engine which is a really big deal so that’s five engines that will be delivered next year and of course under percentage of completion accounting the bulk of the work will be done this year. So that’s a very positive development. On the negative side of the equation this quarter I think we’re slightly less optimistic on the outlook for the aftermarket than we were last quarter which of course have a bit of a margin effect.
Jeff Hammond – KeyBanc Capital Market: Okay, great. Thanks Alex.
Alex Pease: Yep.
Operator: (Operator Instructions). Your next question comes from the line of Joe Mondale from Sidoti & Company. Your line is open.
Joe Mondale – Sidoti & Company: Good morning guys.
Alex Pease: Hi, Joe.
Joe Mondale – Sidoti & Company: Just wanted to clarify just on last question regarding Engine. So you’re getting a benefit from the Colombian Commercial businesses that you just got on the environmental upgrades as well. Could you just help us get a little bit of better idea in terms of what your margin expectations are given, you’re expecting aftermarket to come down but what kind of margin profile are we looking at with the Colombian Commercial in an environmental upgrades, it sounds like maybe margin comes down a little bit in the back half compared to what we saw in the second quarter?
Alex Pease: No, I would actually anticipate that it improves a little bit because remember we had in the second quarter we had a $1.9 million and…
Joe Mondale – Sidoti & Company: Well, I’m saying the 18 excluding the $1.9 million looking at 18.
Alex Pease: Okay, okay, yeah, yeah. So if you’re looking at it a 18% relative to where we think we’ll end the year I think we’ll end the year a little bit softer than that. The first half of course was much lower than we would traditionally expect because of these restructuring expenses the cost associated with the commercial contract in Canada and so forth. So the second half will be substantially stronger than the first half and then I anticipate we end the year kind of a couple of points maybe lower than where we were last year.
Joe Mondale – Sidoti & Company: Okay, great. And then CPI, I may have missed I think I lost here little bit when you were talking about that part of the business. Directionally I guess last call you said that profits were the best and I think it was third quarter of 2011 or whatever it was, did profits directionally continue to improve in the second quarter. And if you could just talk I guess maybe a little specifically on the specific markets that you sell to in that business, how that’s trending?
Alex Pease: Yeah. Okay, so let me talk about the profitability situation first and then I’ll I talk about the individual market dynamics. So the profitability for the year has really improved dramatically over the course of the year, I would say that if you were to compare the first quarter with the second quarter of the year it’s basically flat. Although in June we saw the strongest June – June was the strongest month from a profitability standpoint that we’ve had all year. So, I’m optimistic that the trend continues to improve and I think the trend will continue to improve through the end of the year. So that sort of aid on the profitability picture. On the market picture you really sort of have to draw a little bit of metrics on the X axis to the metrics you’d have North America and Europe and then on the Y you’d have refining and kind of all other. So, in Europe the story is actually much more positive than it was last year. The European businesses which are predominantly refining and process industries really performed well, we had a number of wins on the OEM side and the profitability over there is quite strong. In North America the refining business hasn’t been quite as strong as what we would hope and obviously we’ve got the National Gas side of the business which is up in Canada which is been quite a bit weaker than what we thought. So, I don’t know does that give you some color on the market picture, do you want me to talk on it.
Joe Mondale – Sidoti & Company: Yeah, no, no that’s good enough. I appreciate that. And then just my last question on it was just – I guess I have two questions, first of all on Technetics, it obviously sounds like it’s a challenge with that business especially with the semiconductor exposure. I guess I’m just trying to wonder where we are sort of your feeling on sort of where we are in the cycle, do you expect directionally from where we are now that we continue to sort of lead a little bit into the back half and then hopefully sort of stabilize or do you think sort of we’ve seen huge decline already in we sort of maybe hit bottom.
Alex Pease: Yeah, let me just adjusting your language because I don’t want anybody on the call to think that we’re struggling in Technetics, that business is performing exceptionally well. So, you’ll recall when we completed the Tara acquisition really the strategic intend of that acquisition was to expand the business from really just a Specialty Seal business to an entire Engineered System Components business. We basically bought the things that go around the seals (inaudible) and so forth to go around the seals. That strategy is coming together very, very well. We have just recently last quarter was a (inaudible) Show and the level of discussion there was significantly more sophisticated than it was even just a year ago. So where we have huge amount of optimism for the future of that business, now the trick is obviously if you’re selling products in the aerospace for example those are long lead long sales cycle things, you don’t just sort of confirm a sale and then deliver it next quarter that takes a year or 18 months to develop. But in general we feel really, really good about that pipeline and to some extent the softness in semiconductor has been a bit above blessing because that’s enabled us to forced us to really double down our efforts on both the aerospace side and the down hole oil and gas side where we’re seeing some successes as well. So, from a market development standpoint, the business is performing really well. And then from an operational standpoint the business is also performing really well, the beauty of the acquisition of Tara is those guys really understood how to operate in the semiconductor environment so they’re very good at gearing the operations to these very rapid cyclical downturns and so they’re highly responsive, they – we don’t keep a huge amount of fixed cost burdens we can scale up and down as the market adjust. So, I just want to be clear the business is performing very, very well. Now that said semiconductor is about 30% of business and the primary customers were are semiconductor businesses Applied Materials. So when that market is down obviously there is a leverage effect on Technetics. Now depending on who you talk to there is some optimism for a second half recovery, I think when we talk to Applied Materials they’re more focused on the first half of 2014. So the market signals in semiconductor are little bit mixed. We also have some concern because the nuclear backlog is a little bit softer than it has been previously and obviously the nuclear product line carries really strong margins for us. So there are some market effects going on but under – I just don’t want anybody to think that because the market is a little bit soft the business is struggling in anyway.
Joe Mondale – Sidoti & Company: All right, I appreciate that, that was really good color. Just lastly the GST margins nearly almost 30%, 28.5%, any I mean what’s the upside of that business it’s just incredible how profitable that business is?
Alex Pease: You’re killing me Joe, 30% isn’t good enough for you?
Joe Mondale – Sidoti & Company: No, I’m just wondering, I couldn’t even believe that it could get the size so I’m just sort of wondering.
Alex Pease: I’m teasing you. The business is exceptionally disciplined on cost, they’ve being doing a lot of work on their commercial excellence programs obviously we do have some benefit from the reduction in PTFE prices which PTFE is a huge percentage of their raw material cost and you’ll remember last year PTFE prices really spiked. So, I think that they’re just doing a great job on all fronts. Now I will mention that Q2 in particular tends to be dominated by some seasonal factors related to primarily process industry turnarounds. So we did have the benefit of that which likely won’t continue. There is also some softness in our mining and the construction segment. So I think there is probably more headwinds than there are tailwinds I don’t want to mislead anybody but it was a very strong quarter for them.
Joe Mondale – Sidoti & Company: All right, great. Thanks a lot for the information, very helpful.
Alex Pease: You’re welcome.
Operator: There are no further questions at this time. Presenters, I turn the call back to you.
Don Washington: Thank you Steve. And thanks everybody for dialing in today. As usual if you any follow-up questions, feel free to contact me on my direct line its 704-731-1527. And we look forward to talking to you again next quarter. Thanks.
Operator: And this concludes today’s conference call. You may now disconnect.